Operator: Good day, ladies and gentlemen, and welcome to the Smart Sand Q4 2018 Earnings Conference Call. At this time, all participants are in a listen-only mode. Following the managements prepared remarks, we will host a question-and-answer session and instructions will be given at that time. [Operator Instructions] As a reminder, this conference call maybe recorded. It is now my pleasure to hand the conference over to Josh Jayne, Finance Manager. Sir, you may begin.
Josh Jayne: Good morning, and thank you for joining us for Smart Sand’s fourth quarter 2018 earnings call. On the call today, we have Chuck Young, Founder and Chief Executive Officer; Lee Beckelman, Chief Financial Officer; and John Young, Chief Operating Officer. Before we begin, I would like to remind all participants that our comments made today will include forward-looking statements which are subject to certain risks and uncertainties that could cause actual results or events to materially differ from those anticipated. For a complete discussion of such risks and uncertainties, please refer to the Company’s press release and our documents on file with the SEC. Smart Sand disclaims any intention or obligation to update or revise any financial projections or forward-looking statements, whether because of new information, future events or otherwise. This conference call contains time-sensitive information and is accurate only as of the live broadcast today, March 14, 2019. Additionally, we may refer to the non-GAAP financial measures of adjusted EBITDA and contribution margin during this call. These measures, when used in combination with GAAP results provide us and our investors with useful information to better understand our business. Please refer to our most recent press release or our public filings for our reconciliation of adjusted EBITDA to net income and contribution margin to gross profit. I would now like to turn the call over to our CEO, Chuck Young.
Charles Young: Thanks, Josh. Despite of challenging conditions, Smart Sand had another good quarter. Lee will give you specifics on our strong financial results later in the call. But first, I wanted to touch on some of the fourth quarter highlights. We generated $18.8 million of adjusted EBITDA for the quarter on sales volume of 610,000 tons. Our sales volume through our Van Hook terminal in the Bakken increased over previous quarter by 30,000 tons. Van Hook volumes represent one-third of our total sales volumes in the quarter. For the year, we generated adjusted EBITDA of $66 million, that's up 116% over our 2017 results. The increase was due to higher sales and greater contribution margin, thanks to our expanded logistics capabilities. We've now contracted two sets of our last mile silos and we have two additional sets ready to be deployed. Our base of long-term contracts provided a solid financial foundation for the Company during the fourth quarter slowdown. As of December 31, 2018, 58% of our annual nameplate processing capacity was contracted under long-term take-or-pay contracts. These contracts are fully enforceable. They provide us with positive downside protection through downturns in the operating cycle. We continue to be focused on executing our long-term strategy of expanding our services for our customers from the mine to the wellsite. We saw a continued strong activity through our Van Hook terminal in the Bakken, moving almost 200,000 tons transloaded through that terminal for the quarter. This validates our approach to investing in logistics and providing complimentary logistical services for our clients. Moving our sales proposition farther down the supply chain and closer to the wellsite is working for Smart Sand. We’ve been able to capture incremental value by delivering sand in the basin rather than selling FOB to mine. We believe our focus on providing logistical services to our customers, strengthens our relationship with them by providing high quality value-added services to improve their sand delivery supply chain. Here is another way we create incremental margin and long-term value for our shareholders, by broadening our services as a fully integrated frac sand supply and services company, a company that provide sustainable logistics all the way to the wellsite. Our wellsite storage solutions are integrated with a flexible, user-friendly proppant management system to help control the merge, drive down costs, improve safety, and deliver a high volume of sand sustainably. We now have two sets of silos under contract and we have an additional 13 silos complete and ready for deployment. Our silo production is scalable. As a result, we're able to respond quickly to incremental demand as needed. We continue to have strong interests in our wellsite solutions. We're having good discussions with many potential customers and we expect to add new contracts in coming quarters. Smart Sand’s last mile technology is both unique and innovative. It addresses the shortcomings of other wellsite solutions now in the market. Our wellsite storage solution provides all the benefits of boxes, silos and hybrids all in one package. We support nomadic and gravity dump trailers. We have industry-leading dust suppression and we can turn trucks fast. We are able to provide our wellsite storage solutions to customers in any basin regardless of whether we are delivering sand to that market And now turning to the industry. According to Spheres, 2018 saw a 32% increase in proppant demand over 2017 and 2019 is expected to be slightly higher than 2018. We all know that E&Ps have taken a cautious approach to the start of this year, but we're seeing a substantial pickup in activity that began in mid-February, assuming oil prices stay in your current levels, we expect activity to increase in Q2 and continue through the second half of the year. Outside of the Permian, Spheres had Eastern U.S. demand growing by 13% in 2019 and 2020, and the Bakken is looking at 8% growth annually over the next few years. This is very positive for our business as we have strong logistics capabilities into both of these markets. In addition, there is limited to know in-basin sand computation in these operating basins. Our Van Hook terminal in the Bakken is well positioned to benefit from this increasing activity. Our operation is designed for growth with significant rail yard capacity and plenty of room to expand. Finer mesh, Northern White sand has continued to be the preferred proppant choice in the Bakken, Marcellus and Utica basins. Based on all the reports, we foresee increasing activity in these markets over historical levels. We believe there will continue to be long-term demand for high-quality finer mesh, Northern White sand throughout North America including in the Permian. Northern White demand in the Permian is gaining traction again. From discussions with our customers and spot activity, we are seeing increasing interest primarily in Northern White 40/70. We expect to see continued interest from our service companies and operators in the Permian. Companies that are focused on decline curves and EUR. As we've said, time and time again, quality matters. There are plenty of stories of Permian operators having problems with their well results. The possible causes include downspacing, parent child relationships, and non-prime acreage. Our belief is the lower quality characteristics of the Permian regional sand, primarily crush strength and turbidity are manifesting themselves is steeper decline curves and lower EUR. Interestingly, these problems are also being seen in the Eagle Ford and other operating basins with regional sand sources. Ultimately, we continue to believe that operators in Texas and Oklahoma will recognize the negative impact that regional sand may have on long-term well results, so they look to use more Northern White as part of their profit needs going forward. We believe E&Ps will continue to focus on living within their cash flow and long-term return on capital. Therefore, well performance beyond the first 60 to 90 days is going to matter. To improve long-term return on capital, well performance in years two and beyond is increasingly important. And the quality of sand has a big impact on this long-term well performance. We believe the recent increase in Northern White demand is partly as a result of focusing on improving long-term well performance. Finally, logistics matters. Our business is logistics business, moving sand in bulk. In bulk commodity movements, the way you move the product is critical because it reflects on what you can offer your customers and how you drive scale and efficiency with your railroad partners. Both commodities belong on rail. Last mile trucking distances must be minimized to be sustainable. Moreover, in the Permian, trucking challenges continue to mount, whether from congestion delays, safety concerns, or E&P sustainability goals. We continue to believe the answer is building appropriate rail infrastructure adjacent to producing acreage and minimizing last mile trucking distances. Trucking distance is greater than 50, 75 or 100 miles from the mine or terminal to the well pad or not sustainable, and they do not save money long-term. Sustainable profit in logistics start at the mine. They require large reserves, massive rail yards, and willing rail partners. Such logistics must have complimentary large rail infrastructure on the receiving end, preferably right on the producing acreage to minimize trucking distance to the wellhead. When combined with the reduced well performance of regional sand, Northern White delivered an efficient bulk commodity movement makes sense. So in sum, the fourth quarter and 2018 fiscal year were good ones for Smart Sand. Despite some challenging market conditions, we were able to deliver solid adjusted EBITDA for both the quarter and the full-year. We remain focused on our long-term objectives and we've proven that we're profitable through all of our operating cycles with consistent operational results. Our investment in the Van Hook terminal in the Bakken is a strong contributor to our future operating performance. With our current available Northern White capacity, our terminal in Van Hook and our ability to deliver wellsite storage solutions were positioned to benefit from the improving market conditions. Looking forward, we plan to stay the course and continuing to execute on our already profitable plan. The plan to provide long-term value to the organization and people are most important to us, the Company, our employees, our customers, and our shareholders. In closing, I'd like to say a special thanks to our employees. They've contributed to our growth and progress in so many ways, including these; making our Van Hook terminal such as success, giving us the capacity to deploy silos as needed and containing costs throughout the organization. Thank you all for your efforts and hard work. And with that, I'll turn the call over to our CFO, Lee Beckelman.
Lee Beckelman: Thanks, Chuck. As Chuck highlighted, we were able to deliver solid financial performance in the fourth quarter, despite the slowdown in activity. I’ll primarily be going over the fourth quarter 2018 financial results. Starting with the sales volume, we sold approximately 610,000 tons in the fourth quarter. The decline in sales volumes from the third quarter 2018 was primarily due to the slowdown in completions activity. Though our overall sales volumes were down sequentially, our sales through our Van Hook terminal increased to almost 200,000 tons, compared to 170,000 tons in the previous quarter. This increase continues to validate our approach to investing in logistics and providing complimentary logistical services for our customers and moving our sales value proposition farther down the supply chain and closer to the wellsite. Total revenues were $52.2 million in the fourth quarter of 2018, a 17% decrease compared to the third quarter 2018 revenues of $63.1 million. Sand sales revenues decreased to $29.4 million from $44.2 million in the third quarter 2018, primarily due to less volume sold under both spot and contract sales. The average sales price per ton in the fourth quarter was $48.20 per ton versus $53.77 per ton last quarter. The decrease in average selling price sequentially was primarily due to the mix between contract and spot sales as well as less spot sales volume, partially offset by more volume sold in-basin at our Van Hook terminal in the Bakken. In the fourth quarter, we recognized $3.9 million of shortfall revenue for payments from customers who did not take their minimum volumes in the quarter. Currently, some of our contracted customers will likely not take the minimum volumes in the first quarter of 2019 as well and we expect to have shortfall revenues in the first quarter as well. As Chuck highlighted in his comments, our take-or-pay contracts with minimum required volumes and payments provides Smart Sand with a stable source of revenue to help the company managed through the operating cycles in the industry. Transportation revenue, which includes freight and railcar usage, was $18.9 million, a slight increase over the $17 million in the third quarter. This increase was primarily due to increase in-basin sales activity. We expect the shift in volumes and traffic at our Van Hook terminal to continue to increase throughout 2019. Our costs of sales for the quarter were $34.2 million, a decrease of $6.4 million from the third quarter's $40.6 million. The decrease in cost was primarily due to lower sales volume and lower production costs as we right sized our labor and equipment cost to better match our cost structure with current activity levels. This helped offset some of the increased production costs we typically see in the fourth quarter. For the fourth quarter 2018, our contribution margin per ton was $37.34 compared to $32.95 per ton last quarter. The increase was primarily due to higher transportation revenue and more shortfall revenue in the quarter, partially offset by lower average sales price per ton. Our selling sand in-basin and close to the wellsite, we're able to capture more incremental margin than by selling sand at the mine gate. Gross profit was $18 million in the fourth quarter, compared to $22.6 million in the third quarter. The decrease again is due to lower sales volume overall partially offset by lower production costs. Our operating expense in the quarter were $23.8 million, which includes a non-cash impairment charge to goodwill and an indefinite-lived intangible asset of $17.8 million. Operating expenses were $5.1 million in the previous quarter. The majority of the increase sequentially was due to the impairment charge that was basically due to the decline in our stock price near the measurement day. Salaries, benefits and payroll taxes and other general and administrative expenses were all lower in the fourth quarter 2018 compared to the third quarter 2018, as we right sized our operations to match existing and current activity levels. For the quarter, we had income tax benefit of $2.1 million compared to an income tax expense of $4.6 million in the third quarter. We expect our effective rate to continue to be in the low 20% range. We had a net loss of approximately $4.4 million in the fourth quarter, compared to net income of $12.1 million in the previous quarter. The net loss is primarily attributable to the non-cash impairment charge I mentioned before coupled with lower total volume sold. For the quarter, we had adjusted EBITDA of $18.7 million compared to $22.1 million last quarter. The lower adjusted EBITDA was primarily due to lower sales volume, which was partially mitigated by lower production costs, payroll, and SG&A expenses. For the full-year 2018, we had total sales volume approximately 3 million tons compared to 2.4 million tons in 2017. This helped us generate total net income of $18.7 million in 2018 which included the impact of the $17.8 million goodwill and an indefinite-lived intangible asset impairment charge I mentioned previously. We also generated $66 million of adjusted EBITDA for 2018 compared to $30.6 million for 2017. The improvement in adjusted EBITDA for 2018 over 2017 was primarily due to higher sales volume, including in-basin sales, and higher average selling prices, partially offset by increased staffing, utilities, equipment expenses, along with increased transportation charges. Capital expenditures. In 2018, we spent $126 million, which was split as follows. Approximately $55.4 million was spent on logistics assets between the acquisitions of the Van Hook terminal and Quickthree as well as the buildup of our wellsite storage solutions during the course of the year. These investments have supported our growth from a frac sand only supplier to a fully integrated frac sand supply and services company, offering sand and logistic services from the mine to the wellsite. These services have already proven their value to the company from the increased contribution margin we have been able to achieve from offering value added services that improve the supply chain for our customers. We also spent approximately $66 million to complete the expansion of our Oakdale facility and for other enhancement and development projects, which brought our total nameplate capacity to 5.5 million tons per year at Oakdale, which occurred in June, 2018. From the completion of our Oakdale expansion, our capital needs have been reduced. Currently, we anticipate capital expenditures to be in the range of $30 million to $40 million for 2019 of which approximately $10 million to $15 million currently is allocated to maintenance and efficiency projects at Oakdale and Van Hook, and approximately $20 million to $25 million is allocated to the build out of additional wellsite storage solutions and potential new terminal investments. Approximately $10 million of the capital for 2019 is discretionary. Whether or not we spend this capital will be driven by market activity and demand over the course of the year in particular for our wellsite storage solutions. In terms of guidance for the first quarter 2019, we currently expect sales volumes to be in the $600,000 to $650,000 range and adjusted EBITDA to be in the $10 million to $14 million range. We are projecting adjusted EBITDA to be down from the fourth quarter 2018 even though we expect sales volumes to be consistent with the previous quarter. This was primarily due to expected lower average selling prices from pricing adjustments in our contracted sales prices from the drop in WTI in the fourth quarter 2018. Additionally, as we have noted in the past, we typically have higher costs of goods sold in the first quarter due to the reduction in our mining and wet plant operations in the winter months, which leads to less costs being capitalized into inventory this quarter relative to the other three quarters of the year. However, sales volumes had continued to improve over the course of the first quarter of this year, so we expect to exit at a much higher rate in March then we started the year in January. Currently, we anticipate March sales volume to be in the 250,000 to 300,000 ton range and right now we expect this level of monthly sales activity to continue into the second quarter. We will get more detailed guidance on the second quarter during our first quarter earnings call in May. During the fourth quarter 2018, we repurchased approximately 588,000 shares of our stock for approximately $2 million. The board's authorization that was put in place in November 2018 remains in effect and allows us to repurchase up to an additional 1.4 million shares. As of December 31, 2018, we had approximately $1.5 million of cash on our balance sheet. In the fourth quarter, we generated $17.2 million of cash flow from operations compared to $14.9 million in the third quarter, even with lower sales volume over the prior quarter, which brought our total cash flow from operations for 2018 to $50.9 million. At December 31, we had $44.5 million drawn on our credit facility with full remaining $15.5 million available to support our liquidity needs. We amended our credit facility in February to extend the maturity date to June 30, 2020 and agreed to reduce the facility commitment to reach $50 million by the end of 2019. Our plan is continue to look for options to refinance this facility in 2019, but this extension allows us more time and flexibility to evaluate and execute on the optimum long-term source of capital and liquidity for the company. We continue to have one of the lowest leverage balance sheets in the industry. At year-end, our net debt was less than one times our adjusted EBITDA. We expect to continue to generate positive cash flow from operations and plan to manage our capital spending to minimize borrowings under our credit facility. With our current expected cash flows from operations, current availability on the credit facility and other available sources of borrowings, we believe we have sufficient liquidity to support all of our activities. This concludes our prepared comments and we will now open the call for questions.
Operator: Thank you, sir. [Operator Instructions] And our first question will come from the line of George O'Leary with TPH & Company. Your line is now open.
George O'Leary: Good morning, guys.
Charles Young: Good morning.
Lee Beckelman: Good morning, George.
George O'Leary: Nice to see some of the on-site proppant management systems go under contract. I wondered if you guys could provide just a little more color on how to think about that business of realizing CapEx as being allocated there, but how many systems you guys could potentially deploy kind of the economics to think through that as we mull over rolling that into our models for the year.
Lee Beckelman: Yes, I'll talk – this is Lee. Thanks, George. I'll talk a little bit about the economics and then John and Chuck can talk about this overall activity levels for this business. But as we've said in the past, our average cost for a fleet is about $1.5 million and we continue based on the contracts we've put in place, currently expect to get about a two-year payback or less on that investment. So that's kind of how the math is looking and continue to look in terms of the economics. Also, currently our operations and kind of built into the capital that we have given guidance to, we're currently producing roughly one fleet a month in our facility. So we have the ability to kind of be building one fleet a month that we could add to under contract over the course of the year.
George O'Leary: Great. That's very helpful. And then on the logistic side of the equation, clearly Van Hook is paying off, and you indicated that volumes will be ramping there throughout the year. What else is there to do on the logistics front or is it more just about maximizing utilization at Van Hook in 2019?
Charles Young: So George, I think basically the way and what we're doing in Van Hook is our idea of the way sand should move to all basins. So again, we bought the Plains All-American terminal in Van Hook, ready to go with big rail infrastructure. We think the same thing belongs in the Permian on people's acreage. We think it belongs in the Marcellus on people's acreage, and now that people are actually trying to set the business up and do it for 30 years. We think this is the way it's going to go. And when you move this stuff and you have great flow for the railroads or to the last mile equipment, it basically drives the economics inefficiency. So everything we've done has been built around that. It's been built around big rail movements and we'll continue to perfect that, and we'll line up with customers who want to do it that way.
George O'Leary: Great. I'll sneak one more in if I could. I think you mentioned the fact that volumes would be 250,000 to 300,000 tons in the March timeframe this year. So a nice jump up as you progress through Q1, thinking about this 600,000 to 650,000 range you provided for overall Q1 guidance. I wonder if you could peel back the onion there a little bit and provide some color on regionally if the increased volumes are to those kind of two core markets, the Northeast and the Bakken or if what you alluded to is regards to Permian seeing some issues related really into in-basin sand and other factors that maybe related to that in-basin sand if the Permian is actually adding to that growth in the March timeframe versus February?
John Young: Yes. George, John here. So the growth that you're alluding to in March, kind of the increase in volume we're seeing is broad-based and it's across the board to all basins. Interestingly though, there's a good chunk going into the Permian. What we believe, is in response to some potential well results that operators aren't happy with. So remains to be seen kind of what that looks like over time. But this year appears, it was kind of to be the opposite of last year where we started the year very strong, and kind of finished slowly. This year appears that kind of we're starting a little bit late, but the volume looks like it's going to be relatively robust based on our conversations that we're having with customers on both spot and contracted.
Lee Beckelman: And George, one of the things that we kind of put a challenge out to you guys, the analyst is we think you guys need to dive deep into the E&Ps that use the Northern White and how their wells are standing up in regards to the E&Ps that have gone to regional because we think they're all under a lot of pressure on cash flow and long-term cash flow. And we think once you start looking at that a little closer, you start seeing that Northern White makes sense, move properly with big unit trains.
George O'Leary: Great. Thank you all for the color.
Operator: Thank you. And our next question will come from the line of Stephen Gengaro with Stifel. Your line is now open.
Stephen Gengaro: Thanks. Good morning.
Charles Young: Good morning.
Stephen Gengaro: Can you give us a sense please when you think about the first quarter volumes, is the contracted percentage similar to what you talked about earlier as far as 58% of your volumes contracted for the year? Is that a good way to think about it or is it different in the first quarter?
Lee Beckelman: Well, I think in the first quarter it's going to – contract volumes will be a little bit higher on that, but we actually have some pickup in spot. In the fourth quarter, we had very little spots and so it was nearly all contracted volumes, so we're seeing in the first quarter is pretty consistent contracted volumes, but a pickup in spot.  And we really start to see that pickup really beginning in February and March. Although, our contracted volumes are also picking up as activities is picking up for them as well. So I'd say it's probably going to be maybe in terms of volume split for the first quarter, maybe 70% contracted, 30% spot give or take.
Charles Young: What's interesting about the Permian sand in particular is from what we hear out there, there's available capacity at Permian mines yet there's Northern White rolling into the Permian Basin right now. So it's very interesting. Not everyone's coming out and telling us about what's happening and why that's happening, but we think we kind of can read between the lines.
Lee Beckelman: And just a reminder of the 58% of our total capacity it wasn't of our volumes in the fourth quarter, so 58% of our total capacity 5.5 million. As we highlighted, we do expect some of our contracted customers do not take their full volumes in the quarter and we'll have additional shortfall payments in the first quarter as well.
Stephen Gengaro: Just to be clear that 58% number you gave was contracted volumes of your capacity for 2019.
Lee Beckelman: Yes, we have 5.5 million tons of capacity of which roughly 58% of it is under contract currently.
Stephen Gengaro: Okay. That makes sense. Thank you. And then just on the Permian issue, you bring up an interesting point about Northern White volumes coming into. Have you dug deeper? I mean, do you think it's well result related? Do you think it's contracted volume related coming out of some of the Northern White mines? I mean, have you dug deeper into that? Can you give us your perspective?
John Young: I think there's probably a number of reasons. Certainly, we believe that a lot of this has to do with well results, right. We've had regional sand in the market now for anywhere from 12 to 24 months down there. So even operators are getting their results back now are kind of seeing kind of first year decline curves and things like that. So certainly we believe that’s part of it, but we also believe logistics are a big part of this, right. There's been some recent news articles where operators in the Kermit area are trucking sand to a rail terminal, putting on rail for 20, 30 miles and then trucking it to the basin to get out of some of its congestion. And that's before the bulk of the capacities on line there. So we think from a logistics standpoint, trucking sand 100 miles from let's say Kermit area into the loving area becomes very difficult from a sustainability standpoint, whether it's shortage of truckers or truckers not willing to work for that money. And every one of those pieces has an economic impact, which takes into account what your upfront savings are by using regional sand versus what you're well results are. And every time you chip into that amount of money, you lose some of the incentive for using regional sand. So we think it's kind of a broad based issue with the regional sand down there. I don't think we're saying that regional sand has no place. We just think that some of the operators more concerned about years two, three, four in their wells are definitely going to be looking towards making sure that the decline curves are shallow.
Charles Young: I had additional – you add, as these majors are getting serious about fracking and setting up long-term. They're going to push the envelope with the railroads on larger train size, which we think will drive efficiency. And we quite honestly, we believe if a petroleum engineer has their pick and economics become pretty close that they absolutely will go with the Northern White. And the other point we want to make about that is that finer mesh, Northern White, especially 40/70, is not as big a supply as what everyone thinks it is because there's a lot of mines that are sitting up in the north. There are very coarse mines because everyone wanted 20/40 before. So we think that plays into the whole picture here too.
Stephen Gengaro: Thank you. And if I could just slip in one follow-up to that is have you seen any difference between how the majors are thinking about their sand needs and willingness to use in-basin versus some of the mid-cap names?
Charles Young: I think the majors have a lot of experience with railroad and moving large movements, whether it's crude or whatever. So I think as their supply chain guys get involved in that and really start dialing down on that, and then they can show – like basically with the railroads, you have to show efficiency to the railroad. So in the past this business is kind of done with things and manifest, slow things down on the rail, hasn't been a great business for the railroads. But if someone's driving efficiency and knows that they can use 10 million tons a year or 8 million tons a year, and they can go to this bigger train movement and say, hey to the railroads, listen, we're going to do this no matter what and we're going to commit to this, then the railroads can drive the efficiency on their network and therefore pricing becomes better.
Stephen Gengaro: Great. Thank you for the color.
Operator: Thank you. And our next question will come from the line of Martin Malloy with Johnson Rice. Your line is now open.
Martin Malloy: Good morning.
Charles Young: Good morning.
Lee Beckelman: Good morning.
Martin Malloy: Could you maybe speak about what you're seeing in the spot market for Northern White, 40/70 and 100 mesh?
John Young: Yes, sure. So certainly beginning about mid-February and continuing through where we are right now. There's been a substantial increase in spot volumes. Again, broad based both operators and service companies looking for substantial volumes of 40/70. What's driving that? Again, I think we've spoken about that in this call. We think there's a few factors driving that. But it is broad based and it's across the board in all the basins that we're seeing that increased volume.
Martin Malloy: And is that impacting the pricing yet?
John Young: Yes. Pricing is recovering a little bit. We got down into the kind of lower 20s, and now we’re seeing kind of the 30s. We’re in the 30s now on pricing and we expect that to continue to increase. Don’t know what the rate of increase will be, but the demand is pretty – the demand for 40/70 and 100 mesh is pretty robust right now.
Martin Malloy: Yes. Okay. And the 30s price, is that for the 40/70?
Charles Young: Yes. We always know things are starting to get good when other sand providers are looking for Northern White sand, right, in the mesh sizes that are in demand. So we feel like it's going in the right direction.
John Young: Just to clarify, it's for both, 40/70 has got a little bit of a premium over 100 mesh, but they're both in the 30s.
Martin Malloy: Okay, great.
Charles Young: And one other point I would add is if you're not doing unit train in this business right now, I think it would be very difficult to play a big role. So I think that that's super important out there, so the train length should be getting longer, not shorter.
Martin Malloy: Okay. And obviously you are a lower cost provider here. Do you expect that we'll continue to see some idling or closures of Northern White mines here in the next couple months?
Charles Young: So I'll start this off. I think that the industry really needs to dial down on what mines are closing up, right. So I would say if you don't have massive rail infrastructure, right, and you don't have a reserve base that leans towards fine, being 40/70, and 100 mesh, you should close.
John Young: Yes, I think I would just add to that that in the last upturn, right, last year when we're seeing volumes increasing from Northern White mines, keep in mind that a lot of those mines were just running their tailings piles that they had developed in the 2012, 2015 timeframe. And those tailings from those coarser mines tended to be fine sand, and they were running that fine sands through their drying process. Those tailings piles are gone now, which requires them to process their core substrate and that doesn't produce yields that are sustainable.
Charles Young: One other point I’d add, I think you probably will see more pressure on the regional sand mines then you will on the northern mines to close. So if you're relying on trucking is your source to get sand out, you're going into congestion and as the railroads worked on perfecting their movements and lining up with the larger E&Ps majors to tie stuff up for a long time and tie their resources up for a long time, I think you'll see your regional sand mines that are relying solely on trucking and trucking long distances. I think there'll be a lot of pressure on those.
Martin Malloy: Okay. If I could sneak one last question. Could you maybe comment about the outlook for unit trains on the UK down to the Permian?
Charles Young: So I don't really have any update on that. I know that they moved away from the unit train movements. I'm hoping to be able to speak with their management team sometime shortly at NFTA hopefully.
Martin Malloy: Great. Thank you.
Operator: Thank you. And our next question will come from the line of John Watson with Simmons Energy. Your line is now open.
John Watson: Thank you. Good morning.
Charles Young: Good morning.
John Watson: I was hoping to dig in a little more on the shortfall comment that you made, Lee. I might have missed this, but how many customers did you say are currently paying shortfalls?
John Young: We didn't give numbers on the number of customers paying shortfall, but we've had – it's basically a couple of customers in the fourth quarter and probably be consistent in the first quarter.
John Watson: Okay. That's perfect. In recent discussions with customers regarding future contracting, can you give us an update there? I agree spot pricings moved higher since Q4. Are you looking to sign additional contracts? Is there appetite for that? And can you speak to maybe the gap between contracted pricing and spot if those discussions are ongoing?
John Young: Yes, I think in the past we've indicated that. Our interest is your longer term contracts in a commodity business, you want your longer term contracts, you’re willing to sacrifice a little bit in current spot pricing markets to secure longer term contracts because they helped you through the lower points. As spot pricing continues to recover and accelerates in the 30s and potentially up to the 40s and even got into the 50s last year, when it was busy. Customer's appetite for signing long-term contracts increases, as they see the delta between what their contracted contracts are available at and what they're paying on the spot market. So those conversations are ongoing. We've got plenty of healthy discussions going on with service companies and operators across the basins out there. I would anticipate that during the year assuming that oil stays at a reasonable price and demand continues to increase as we're seeing, we'll be back in the contracts market and signing up long-term contracts.
John Watson: Okay.
Charles Young: One other thing I'd like to add to that is, as it becomes a bigger volume that needs to be moved, it's very important that we have the scale availability with our mine size to handle that because you can't drive the efficiency with the railroad unless it’s a point-to-point movement on big volumes. So we think that the size of the contracts as far as volume could be getting to a bigger size.
John Young: Well, the other thing to point to that is that we do have a capacity available to support big contracts as well. So if there's a customer that wants to do big volumes and commit, we do have excess capacity that is available that we can move quickly to meet that need.
John Watson: Okay, great. And the customers currently paying shortfalls, do you expect any of them in Q2 or Q3 to shift their mindset and want to start taking those volumes?
Charles Young: We have healthy demand for our sand right now, right. So we don't project. One thing that’s just generally, we never really have problems with customers in upturns. We'll have issues with costumers and contracts during downturns, right. So we do think things are looking a little bit brighter right now.
Lee Beckelman: Yes. What I can say based on March’s activity, our contracted volumes are picking up. So assuming activity stays consistent with March, I would expect our contracted customers to continue to take to their minimum levels or get closer to the minimum levels overall.
John Watson: Okay. Okay, I'll switch gears to Quickthree. The line of sight for deployment of systems, I think you said you all could build one per month. Is there a contract beyond the four that are mentioned in the release or expectations – firm expectation for more than four to be deployed at some point this year?
Charles Young: Ask that question again, John. I didn't quite…
John Watson: Yes. So I think the release mentions two systems working, two additional systems that are expected to be deployed. And I believe you said earlier you all could build one per month. I'm just wondering what the line of sight to increase from four is if you have additional contracting discussions that are ongoing beyond those four.
Charles Young: So we can – as far as our – our manufacturing is very scalable, right. So as we see demand and need, we will bolster that. I'm not sure if that answers your question or if you….
John Young: Well we've got 200 contract today and we've got two that are readily available that we could put in the market and very short-term. In terms of producing a set of silos, which typically are going to be about a month again the market, so we're not going to give direct guidance as to how quickly we deploy. But if you do the math, John, you could say that, we've got at least two available today and if we build one set a month kind of from April forward, that adds another eight sets that we have available. So we have roughly 10 sets that we could deploy beyond the two sets currently under our current production capabilities.
John Watson: Okay, great. Understood. Thanks for that color guys. I'll turn it back.
Operator: Thank you. And we have a follow-up question coming from the line of Stephen Gengaro with Stifel. Your line is now open.
Stephen Gengaro: Thank you. Just one quick one, when I think about the shortfall payments. Is that a – can you just give me a little color? Is that profit you would have earned or is that the revenue number and is it basically kind of a pure profit number when I think about those payments?
Lee Beckelman: Well, it's a revenue number and it comes in as revenue and basically it's not equal to what we would have got in terms of selling the sand. So basically, it's, in effect, a payment to cover our cost, but since we didn't make the sand, a lot of that will drop through to the bottom line of EBITDA because by not producing the sand we didn't have all the production costs associated with it.
Stephen Gengaro: Okay, great. That's what I was thinking about. I just wanted to make sure I was correct. Thank you.
Operator: Thank you. Ladies and gentlemen, this concludes our question-and-answer session for today. So now it is my pleasure to hand the conference back over to Mr. Chuck Young for any closing comments or remarks.
Charles Young: Thank you for joining us on Smart Sand’s fourth quarter call and year-end earnings call. We look forward to talking to you again in May.
Operator: Ladies and gentlemen, thank you for your participation on today's conference. This does conclude our program and we may all disconnect. Everybody have a wonderful day.